Operator: Good afternoon. This is the Chorus Call conference operator. Welcome and thank you for joining the Full Year 2023 Financial Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Elena Mariani, Strategic Planning, Intelligence and Investor Relations Director. Please go ahead, madam.
Elena Mariani: Good evening, everybody, and thank you for joining our call today on Moncler full year 2023 financial results. Let me introduce you to the speakers of today's call. Mr. Remo Ruffini, Moncler Group Chairman and CEO; Roberto Eggs, Chief Business Strategy and Global Market Officer; Luciano Santel, Chief Corporate and Supply Officer; Gino Fisanotti, Moncler Chief Brand Officer. And exceptionally for today, we have invited to join our call Robert Triefus, Stone Island's new CEO, who will introduce himself and the next chapter of evolution for the brand. Before starting, I need to remind you that this presentation may contain certain statements that are neither reported financial results nor other historical information. Any forward-looking statements are based on group current expectations and projections about future events. By their nature, forward-looking statements are subject to risks, uncertainties and other factors that could cause results to defer even materially from those expressed in or implied by these statements, many of which are beyond the ability of the group to control or estimate. I also remind you that the press has been invited to participate to this conference in a listen-only mode. Finally, I kindly ask you during the Q&A session to speak to a maximum of two questions per person to give all participants the opportunity to ask questions. Let me now hand it over to our Chairman and CEO, Mr. Remo Ruffini, who going forward will host exclusively our full year results presentation. Mr. Ruffini, over to you.
Remo Ruffini: Good evening, everyone, and thank you for attending our call tonight. Let me start by saying that 2023 was an important and special year for us. It was the 10 years anniversary of our listing on the Milano Stock Exchange, and we are celebrating this milestone with an excellent set of results. The group reached almost €3 billion of revenues, more than five times the revenues of 10 years ago, a record EBIT of €894 million with a 30% margin, and over €1 billion of net cash for the first time in our history. I am proud of this number, but more I am even more proud of what they represent, 10 years of thinking beyond conventions, a continued research for product excellence, a full focus on our customers, and about all, a brand-first strategy that continues to define our mindset. As we look ahead, our journey continues. At Moncler, we will continue to focus on the three dimensions of our brand: Collections, Grenoble and Genius, and to reinforce their perception with dedicated marketing efforts. Stone Island is starting a new exciting chapter that will allow it to express its full potential under a new brand and communication strategy that we have just launched. Robert will give you some more details around it later in the presentation. Sustainability remains key as we continue to integrate social and environmental elements into our business model. Our collections are including more and more recycled, organic, and other significant materials as we continue to collaborate with our supply chain to make larger scale improvements. Even if our efforts have been recognized externally by major global sustainability ratings, we know that there is much more to achieve. Looking at 2024, I see an operating environment that remains complex and unpredictable, so we will continue to remain agile and reactive, and even more importantly, we will continue to invest in our organization, in our brand, and in the exceptional talent within our group. Today, as in 2013, our long-term vision, our emotion, and our passion continue to drive us to push for higher peaks. We still have a lot of dreams and many goals to achieve. I leave the floor to the rest of the management team for more comments and our results. Thank you very much.
Gino Fisanotti: Thank you, Remo, and good afternoon to everyone. Before we get into the details of Q4, and without giving much details of what we will discuss probably during Q1 call regarding what just happened at St. Moritz with our latest Moncler Grenoble experience, I want to go back in time and remind everyone that we just witnessed the first phase of our three brand dimension strategy that we presented to many of you a bit more than 19 months ago. Everything started with our event at Duomo during the 70th anniversary campaign to elevate our Moncler collection strategy, then followed by the evolution everyone witnessed of Moncler Genius in early 2023 by creating a platform of co-creation, opening up the brand to new and more communities around the globe. Last but not least, of course, Moncler Grenoble and the opportunity we have to reclaim what is ours, an opportunity to become the most authentic luxury brand in the mountain at the intersection of high style and high performance. But before we go any further than that, I want to invite everyone who is in front of the screen right now to take a look at what happened during 2023 for the Moncler brand to then get into the highlights and the detail of the quarter. [Video Presentation] Okay, I hope everyone was able to see this properly, but let's go into the details of Q4. Of course, we want to start with Moncler Grenoble. And again, this was for us one of very important season around Grenoble. Of course, that we started with the collection launching around mid-November all the way to December and, of course, a part of Q1. For us, December was a very important moment because we were able to launch a global campaign across all different touch points. And this was important for us not only in terms of elevating the awareness and the visibility of and the meaning of Moncler Grenoble, but we were able to do this across multiple executions that included retailers, activation across multiple regions, key city takeover on key markets and key cities, including digital executions. We were able to take over resorts around the globe, especially in Europe, the U.S. and Aspen, Niseko and for the very first time, we were able to go and take over a resort in China. And then, of course for us, moncler.com remains a critical hub, especially in terms of explaining the features of the product and have the chance to showcase and educate people about our product. Last but not least, and in coincidence, with everything you have been able to see around renewal and Roberto will mention this later. We opened up the very first Moncler Grenoble dedicated Grenoble store in St Moritz in early December. And I am sure you will get a bit more details later. But all that in composition make a very special season for us. And of course, we will continue this conversation as we go into Q1 as well. If we move into the next part, of course, Genius for us is always an important aspect in terms of the launches we have during Q4. Three important aspects or three important launches, I should say here. The first one was with the Moncler Genius with adidas Originals. This, for us, was an important partnership in terms of the visibility that this provides to the brand in partnership working of course with adidas, but on top of that, the experience we were able to create in terms of digital platforms. This was a crossover experience across the two platforms, adidas.com and montreal.com, that we were able to connect with probably customers that we were not able to connect before. So it was an interesting process and learning from us. Then, of course Palm Angels, which is a long term friend of the brand, we're still seeing really strong performance of this collection. We saw as well a strong performance in Asian markets for this new launch of Palm Angels as well. And then last but not least, Rick Owens that continues to have not only a strong performance in terms of how the collection itself performs, but it's very interesting to see the level of engagement that Rick Owens and Moncler brings when they come up with a collection so really happy with the results there. Last but not least, as we always talk about the three dimensions, we can talk about main collection around the idea “For the Love of Winter” this is Emilia DTC centric effort we have done around mid-November and all the way into December and gifting period. This is a very critical moment for us, not only for business, but even for the brand. And we were very clear and tried to iconize and having a very strong art direction in this campaign in terms of how we can keep elevating our Moncler collection and create the desire and iconize our own products. Last but not least, and I think this is not new news, but I think it's important to mention that in November we announced the exclusive licensing agreement with Luxottica and the entire process already started and we are looking forward to have the first collection in the market in full winter 2024. Again, the timing will be confirmed in the coming calls, but will be in between September and October 2024, when we'll be more than excited to bring that collection together with Luxottica into the market. So with that said, I want to pass into Robert Triefus, who will give us more details about Stone Island.
Robert Triefus: Good day to everyone. Thank you, Gino. It's now nine months since I took on the role at Stone Island, with my first six months dedicated to getting to know the company and the brand, both at home in Italy, but also in all of our regions around the world. That has helped inform me and the development of a brand and business strategy with the objective to unlock the full potential of this unique brand. What makes Stone Island unique in the marketplace is its unparalleled reputation for the substance, quality and authenticity of its products based upon its unmatched expertise in material research and innovation, coming, of course, from the roots of the company in Emilia-Romagna, home to some of the world's most respected brands for industrial and product design. This reputation is then complemented by Stone Island's remarkable capacity for community engagement, which has brought together an incredibly loyal customer base across eras, generations and geographies. I will now take this opportunity to go into a little bit of detail for you on the three strategic pillars of brand, product and distribution, that really underpin the plan we are now well underway in executing to realize our ambition. Starting with our new brand positioning strategy, which has been developed with the intent to capitalize on the strong values and reputation that I referenced earlier, but in a highly distinctive and engaging way. While we began to raise the visibility of the brand in Q3 and Q4 of last year, for example, through our new global partnership with Frieze Art Fair. It was really on the first day of Milan Men's Fashion Week in January of this year that we effectively kicked off this next chapter with a signature brand event and the worldwide launch of our new advertising campaign, which for the first time featured members of our community, including the actor, Jason Statham; and the musician Dave, both of whom you can see here on this slide. The new brand image also brings life to the full Stone Island offer, including our sub-collections, Ghost, Stellina and Marina, as we further extend the brand's reach to engage different market segments. As you will gather from the sequencing of the Frieze global partnership, our brand image event during Fashion Week and the launch of the new advertising campaign, all in close succession, our intention has been to significantly heighten the visibility and the presence of the brand. This is being powered by a full funnel, integrated media investment and the amplification we are, of course, achieving by involving members of our community organically in our brand engagement activations, but always in a way that authentically reinforces the values of the brand. I am today speaking to you from Los Angeles, where the Frieze LA art fair begins today. In coincidence with the fair, we have brought the largest Stone island archive exhibition that has ever traveled outside of Italy to be present at a dedicated location for the next five days, and we will open this tonight. In this way, we are aiming not only to raise the visibility of the brand in the American market, but also to establish a better understanding of the brand's legacy and its unique values. Moving now to our product strategy here, we've been focusing on developing a defined and elevated collection architecture. This means that we've been concentrating our attention on establishing an offer that responds both to the existing and future potential of the brand as we build on our existing customer base, while reaching new customer segments that I referenced also through our sub-collections. We will double down on our core high value categories of outerwear and knitwear for which Stone Island is renowned, thereby emphasizing the unique DNA of the brand, and this will simultaneously drive further brand awareness and recognition. We will also become more intentional about capitalizing on the potential of the total Stone Island look as a distinctive brand signature. Talking of the distinctive brand signature, Stone Island’s archive is in fact one of the most referenced within the fashion industry for its iconic shapes, functions and materials. This gives me great confidence in our future opportunity to develop icons over time in our offer. Meanwhile, the sub-collections will each have their own 360 degree strategies to enhance their respective contributions as collection satellites. And to this end, we will pursue a very selective approach to brand collaborations going forward as we focus on realizing the potential of Ghost, Stellina and Marina. Not immediate priorities, but offering future potential are, shoes and accessories. We will continue our highly successful partnership with New Balance and we will progressively take advantage of accessories, concentrating on them as a traffic builder opportunity. For Stone Island Junior, we will optimize this collection through rationalization to sharpen its focus. Moving now to the distribution pillar. As you know, it has been a clear strategic imperative over these last two years to take back control of the brand, both in terms of integrating distribution and with a grind focus on DTC over wholesale. Most recently, at the end of December, we completed the integration of our China business with the establishment of our new APAC regional office in Shanghai. Meanwhile, we have continued to selectively roll out our new store concept with openings in Munich, Stockholm and Chengdu. Our intention in 2024 is to concentrate on driving the momentum behind the organic growth of our existing DTC footprint, which currently numbers 81 stores globally with just a few – a handful of new openings. On the wholesale front, a channel that still continues to be strategically important for Stone Island for the visibility and brand presence, it continues to provide in certain key markets. As we know, 2023 was a challenging year for the wholesale sector as a whole. We have nonetheless taken this opportunity to make bold choices as we follow through on our commitment to achieving a highly selective approach towards the choice of our partners, also with a strict volume control. This is now backed by a selective distribution framework for our partners that we have introduced with the fall winter 2024 collection. Another extremely important step in taking control of our distribution will come in August of this year with the internalization of our website, which as you know, is currently operated with YNAP. This will simultaneously see the launch of a new website, fully reflecting our new brand image and with a much enhanced customer experience. This will meanwhile be backed by local warehouses that will allow us to have dedicated regional assortments for the first time. And with the internalization of the website complete, we will be able to truly implement an omnichannel mindset, offering services and harmonization that have not been possible until now. I will conclude my brief overview of our brand and business strategy with a short video that brings to life our new brand manifesto. But before that I would end by saying that I have great confidence in Stone Island's potential over the coming years. But as with the course that Montclair has very successfully charted over the years, we will take no shortcuts. But we will methodically lay the foundations, building brand distinction and engagement through a compelling product offer and a highly controlled distribution. And in so doing, we will unlock that full potential. Thank you. [Video Presentation] Strategy of Stone Island, let me come back on the detailed results for both brands separately. We'll start with Moncler. Full year 2023 for Moncler brand reached €2.573 billion, which is a plus 19% compared to 2022. Q4 recorded the 17% growth versus 2022 accelerating sequentially compared to Q3. Asia which includes Asia-Pacific, Japan and Korea in Q4 recorded plus 28% accelerating compared to the fourth quarter, mainly thanks to a strong register of Chinese Mainland both performance was facilitated also by, let's say comparison in Q4 2022 that was still affected by COVID restriction. Japan, Korea and the rest of Asia-Pacific continued to record a strong double-digit growth. EMEA increased in Q4 by 7%, slightly improving compared to the previous quarter despite very high comparable base of Q4 2022. This acceleration was driven by D2C channels with a positive contribution both from tourists inside and outside Europe and by locals. The Americas grew 3% in Q4, with a positive D2C business offsetting the decline of the wholesale channel. The performance of the region in the two channel was influenced by the conversion of Nordstrom that was in May 2023 and part of Saks from a wholesale to a D2C business model. Let's go to the revenues of Moncler by channel. Well, first of all, on the D2C, that represents now 84% in total and representing 94% of the sales of Q4. The D2C grew by 25% versus 2022 on a full year basis. Comparable store growth for the full year was at plus 19%. In the fourth quarter, D2C revenues grew 20% versus 2024, with both EMEA and Asia improving progressively compared to the previous quarter. The direct online channel registered a positive performance in 2023. Wholesale revenues reached $409 million for the full year 2023, down 6% versus 2022. In the fourth quarter, revenues of this channel were down 15%, mostly impacted by the conversion of Nordstrom and of Saks in the U.S., and by an ongoing effort to upgrade the quality of our distribution network. Let's come to the result of Stone Island. Stone Island for the full year 2023, brand revenues reached $411 million which is a record plus 4% versus 2022. Q4 was at plus 7%, compared with the same period of last year, led by a strong double-digit growth in the D2C channel. In Q4, EMEA revenues were up 3%, with a solid double-digit performance on the D2C channel, offsetting the decline of the wholesale channel. Asia here also Asia includes Asia-Pacific, Japan and Korea grew 22% year-on-year, mainly driven by the strong performance of Japan and Chinese Mainland. The Americas saw a decline of 14% in Q4, as performance continued to be impacted by challenging trends, mostly among department stores, as well as by ongoing efforts to upgrade the quality of our channel. To conclude on Stone Island with the revenues by channel, the revenues of the D2C grew to 100 – total of €173 million for the full year 2024, which is a plus 19% year-on-year. In Q4, revenues of this channel were up 16%, mainly driven by a very solid performance of Asia and EMEA. Stone Island record is also revenues of €238 million representing your total of 58% for the full year, with a -5% year-on-year. In the fourth quarter, revenues of this channel declined by 6%, primarily due to the strict volume control adopted by the management of the channel to continuously improve the quality of the distribution network. In terms of number of stores for the full network, I think Robert already preempted a little bit the evolution of Stone Island. We are now at the end of the year at 81 stores for U.S., for Stone Island with four net openings in the last quarter including the conversion of Milano La Rinascente, Amsterdam De Bijenkorf and Hong Kong K11 for Moncler. As usual, this was the strongest month – strongest quarter in terms of stores opening. We had seven net openings including, as explained by Gino, the first dedicated boutique for Grenoble in Saint Moritz, the largest one that we have in the network, in the resort, we have a total now of 15 doors in the mountains. And its the first that is fully dedicated to grown up collection. We had also the opening of Amsterdam De Bijenkorf with a ground floor location for the women and first floor location for the men of Edmonton in Canada, Kobe Hankyu and with also additional important relocation and expansion that includes Wien Kohlmarkt, Amsterdam and [indiscernible] The total of stores for Moncler is at 269 stores. You see here two pictures. One was the picture of St. Moritz before that was open on the December 6 last year. Here the opening of Kohlmarkt also in December last year. The largest store that we have in Central Europe with 700 square meter. And finally, the last picture I wanted to show you is the opening of the Stone Island new concept in Chengdu Swire that have started to operate very successfully. I will leave the floor to Luciano for the financial figures.
Luciano Santel: Okay. Thank you, Roberto. Good afternoon, everybody, and thank you for attending our call today. We are now at Page 25 where we report our profit and loss for the year, top line already commented by Roberto up 15% at current rates, it was 17% at constant rates and with quite good gross margin of 77.1%, totally due to the expansion of our DTC business. And something important to highlight our selling expenses flat on a percentage basis as compared to last year, notwithstanding such important expansion of the DTC business. And this is because the expansion was mainly organic and this allowed our stores to be more and more productive. G&A slightly higher than last year on a percentage basis 11.1%, which include our continuous investments in the organization and the marketing 7%, which was and still is for this year for 2024 our guidance. And then a very nice 30% EBIT margin. Net profit 20.5% last year was 23.3%. But again, as you may remember, it was positively impacted by the Stone Island brand value realignment tax benefit for €92 million. Okay. Let’s move now to Page 26, where we report net CapEx, net CapEx €174 million, 5.8% on revenues, I mean in line a little bit lower than last year, but in line with our guidance that also in this case was still is 6% also for this year for 2024. You may see that a growing component of our CapEx is allocated to what we call infrastructure that is made of information technology, logistics and production. So not only distribution. Let’s move now to Page 27, where we report networking capital 8% last year was slightly lower, 7.4% but still honestly a very healthy percent. Something important to highlight about inventory. That is the same comment we made. If you remember, at the end of the first half of the year, the increase in inventory is totally due to the anticipation of our production cycle to better serve our market. And another comment about receivables that are higher as compared to last year, but this is totally due to our DTC concession business in December. As you know, in department stores and in shopping malls, we cash our revenues the month after from the department store. Page 28, net financial position as our Chairman said, for the first time in our history, we touched and passed the €1 billion cash, €1,034 million after with a net cash contribution of €215 million after the payment of €303 million dividends. Talking about the dividends for this year, we are planning, I mean we are proposing to our shareholder meeting to distribute a dividend per share of €1.15 that will imply a cash out of €311 million and payout ratio of 51%. Let’s move now to balance sheet. Honestly, I don’t have any comment on balance sheet. Unless you have a question, I will be happy to answer your question later. Cash flow statement honestly also cash flow statement is quite self explanatory and it includes all the comments from EBIT to CapEx. I already made just one comment about last year, last year the income statement was positively impacted by the tax realignment by the tax benefit coming from the brand, Stone Island realignment. Cash flow was negatively impacted by the upfront tax payment for €125 million. So that’s why the difference of free cash flow is so important. Let’s move now to Page 31, where we report our sustainability commitment and only some of the many achievements of the year 2023. I just wanted to make a couple of comments on some points I like more than others. One is that in 2023 we used in our production cycle over 40% of recycled nylon last year was 15% and so quite an important jump. We keep recycling all 100% of nylon scraps from our direct production sites and we have extended the recycle of production scraps also to our third-party production network achieving a 55% last year was about 10%. And something important I like to remind is the last point, which regards a new kindergarten we opened in Romania in our own factory last year, for the employees’ children that allows our employees to leave their children this place while they work in our production facility and we are also proud to offer an innovative education according to Reggio Children approach. Last slide, please, 32 where we report some important recognitions for the year. Dow Jones needless to say, I mean quite usual, the fifth time, the fifth year in a row, we achieved the first position in textile apparel. But also important for the first time we got from MSCI the top score which is AAA and from CDP another important achievement, the top score which is A. Okay. Thank you all, and we are ready for your question now.
Elena Mariani: Thank you. We will pause for a few seconds to gather questions from the audience. As a reminder, I kindly ask you to stick to a maximum of two questions per person, so that we could give all participants the opportunity to ask questions. Thank you.
Operator: Thank you. This is the Chorus Call conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Melania Grippo, BNP Paribas. Please go ahead.
Melania Grippo: Good evening everyone. This is Melania Grippo from BNP Paribas. I have two questions. First on retail, if you could please tell us, which trends you are currently seeing in retail compared to what you reported in Q4, if you have any significant changes in terms of geographies or cluster. And the second is on the Chinese cluster specifically. Could you please tell out how did it do in Q4 year-on-year and versus 2021? And also if you can give us an idea on what is doing now after the Chinese New Year. Thank you.
Roberto Eggs: Good evening, Melania. Thank you for the two questions. I think they are for me. It's Roberto speaking. On the retail trend that we have seen since the start of the year, I will say very solid and we are very happy about the result on the global D2C and is in all regions. All regions have kept the momentum and we are very happy about the start of the year. Regarding the Chinese cluster, if you remember, well, we are probably amongst the best performing brands in 2022 in Q4, as we were flattish in Q4, despite the fact that most of the stores were closed in November and part of – in October and part of November, we recovered very well at the end of 2022. And the results for the end of Q4 were very positive. So we had a strong quarter with our Chinese cluster compared to 2021. So on the two year stack, we mentioned during the first free quarter of the year that we were up 50% compared to 2021. And for Q4, we remain at this plus 50% compared to 2021. So happy and our Chinese New Year, which is a little bit the embedded question that you have, the Chinese New Year we have been experiencing over the past eight weeks has been positive. Positive with Chinese locally, so positive in the local market, and I will say especially positive outside of China, in Japan, in Hong Kong, in Macau, and also in Europe, where we have seen a very good recovery of Chinese during the start of 2024.
Melania Grippo: Thank you.
Operator: The next question is from Luca Solca, Bernstein. Please go ahead.
Luca Solca: Yes, good evening. Luca Solca from Bernstein. I wonder if you could elaborate on retail performance by brand. We've seen a very healthy progression of D2C, both for the Moncler and the Stone Island brand. I understand that increasing retail space productivity is going to be an important element to drive the progress of Stone Island going forward. I remember from memory that there was quite a significant gap in productivity between Moncler and Stone Island to the tune of three to one, more or less in terms of Euro per square meter. I wonder if this ratio has progressively reduced and if you are happy with the retail space productivity that Stone Island is producing. Maybe as a second question, continuing on this retail front, we've seen a number of high profile real estate deals announced by major luxury groups in New York, in Milan, in Paris, image gearing [ph] product have all been quite active. Do you feel that because of these developments you could potentially be drawn into securing locations and could be pushed to invest in real estate as well? Or would you rather continue, which would be my preference with a rental approach? Thank you very much indeed.
Roberto Eggs: [Foreign Language] Luca, thank you for the two questions. Again, I think they are for me. First on the retail performance by brand, I'm happy to announce that for Moncler, for the first time, we're able to have a record year surpassing the record of 2019. So we reach €38,000 per square meter. And as much as we are obsessed by the brands, I think we are also upset about the sales density. So this is a very important parameter for us in terms of performance of the brand, is how much we perform in the existing stores. To give you some more flares about the retail KPIs that we have had during year, I think they were all positive. So the average store surface increased by 2%. The traffic increased double digits. Of course, when you increase your traffic double digits, and I'm talking Moncler, of course, when you increase double-digit traffic, usually you have an impact on the conversion. The conversion was lower than the increase in traffic. So this result in additional tickets that we were able to invoice and the average tickets and transaction value went up double-digit also during the year. So I will say, all the retail KPIs are green for us and they are performing very well. You mentioned figures on Stone Island that honestly we never disclosed. So we are not yet at the level where we want to start discussing about figures on the retail KPIs for Stone Island, because we are still in this process of transformation, a big transformation, last big transformation that Robert mentioned is the Chinese market that we took over in December. During this year, we have plans to expand the footprint that we have on the Chinese markets, doubling down the number of stores that we have. Some will be closed, some will be reopened. We’re going to launch – we just recently launched a retail excellence project in the U.S. market, and of course, in the course of Q3 – of Q2, sorry, we'll launch a retail excellence fostering also on the Chinese market. So we are still in this brand building and retail building phase. So I think it's a little bit premature to talk really about figures. But I will tell you that all retail KPIs improved in-store [indiscernible] during the course of 2023 and we are confident for the future. Regarding real estate deals is not in the philosophy of the company. I think we have been able to secure very good location without having to buy them. So I think our intention is continue this way and work on this unique proposal that we are bringing to landlords when we come with Moncler and Stone Island. And I think that so far this is more than enough with no need to buy into the properties.
Luca Solca: Thank you very much indeed, Roberto. If I may add a follow-up, as Remo is on the phone, we saw the news about Rivetti, moving his holding from one company to Moncler. A lot of investors are asking what this means. If you could provide your perspective, that would be very helpful. Thank you.
Remo Ruffini: Luca, good afternoon first. And I think the exit of the Rivetti family was from my holding company just a natural evolution of our agreement, which lasted like three years. The journey continues as they will become direct shareholder of Moncler with the consultation agreement. There are no change in the governance structure of the group, means, it's really a natural evolution of what we say three years ago.
Luca Solca: [Foreign Language] 
Remo Ruffini: [Foreign Language]
Operator: The next question is from Edouard Aubin, Morgan Stanley. Please go ahead.
Edouard Aubin: Yes, good evening, everyone. So, just, Roberto, just a small clarification on what you said on the start of the year. I think you said that you're seeing a solid start of the year in almost all geographies, but your comp base is also getting a bit more difficult right at the beginning of this year. So I'm not going to ask you, obviously, to quantify anything and compare it to the 17%. But are we still kind of talking double-digit type of growth for Moncler retail year-to-date? So that would be one. And then the second one for Luciano, so your gross margin was very healthy in the second half coming in higher than expected. Could you just come back, sorry, on the moving part, explaining the beat and what you’re expecting for 2024 in terms of gross margin trajectory, that would be great. Thanks.
Remo Ruffini: Bonsoir, Edouard. You are right. The comp base that we had at the start of 2023, it’s very high. We performed extremely well in Q1 last year. So clearly is why I’m saying that we are very happy and we see a very solid D2C performance because the base was very high. But I would not like to comment on is it double digit or not? I think we will leave it for the Q1 result presentation. And by the way, it was positive in all geographies, just as a reminder, in all geographies.
Roberto Eggs: Hi, Edouard. About gross margin. Gross margin in 2023 was very good, but again, totally driven by the channel mix and by the important, very important expansion of our D2C business. And just to anticipate that in the fiscal year 2024, we do expect a further expansion, but again, totally due to the fact that our D2C business is expected to further expand in 2024. And the wholesale business, no, not at all. I mean, the wholesale business, as we said the other time we talked with the market is expected to decline in 2024. So the expansion of the D2C business and the channel mix as a result will allow us to deliver higher gross margin. Of course, after gross margin, I mean, to get down to the operating margin, of course, we will incur higher selling expenses, but this is part of the D2C business model, as you know very well.
Edouard Aubin: Right. And so you’re still guiding for flattish EBIT margin at the end of the day in 2024 versus 2023, more or less.
Roberto Eggs: Flattish is nice, and let me say, optimistic expectation. Honestly, I don’t know. I can’t tell you. I mean, the year just started. We are happy the way the year started. But again, it’s premature to know how much we will end in the top line and operating margin. As you know, as we said several times, the 30% EBIT margin is some kind of ambition. But for this year, we don’t know. We don’t know yet. And so again, I’m sorry, but I can’t answer your question. But again, 30% is something we have in mind, but we are not obsessed by this 30%.
Edouard Aubin: Thank you.
Roberto Eggs: Welcome.
Operator: The next question is from Erwan Rambourg with HSBC. Please go ahead.
Erwan Rambourg: Hi, [indiscernible] bonsoir and congratulations for a great set of results. Two things. First of all, you’ve done a lot of local events with global residents over the past few years. The 70th anniversary two years ago, the London event last year, Grenoble this year, very visible events. Do you have any other events of that magnitude that are planned for later this year? And then secondly, maybe just a technical approach on retail growth. Retail growth at Moncler brand was 20% in Q4. Can you break out maybe what was linked to the benefits of the conversion away from wholesale and into retail? And any other buckets you can split at? And what should we expect for Q1 in terms of continued benefits from that conversion away from Nordstrom and parts of Saks? So that was two questions. I don’t have a third question, but I just wanted to check that I understood Roberto’s comment appropriately on 38,000 per square meter that’s for the Moncler brand.
Elena Mariani: I can start answering the last question. And yes, it’s 38,000 and it’s for Moncler.
Erwan Rambourg: Thank you.
Gino Fisanotti: Okay, I go back to – first of all, good afternoon, Erwan. So, on your comment, yes, of course, we – again, as I mentioned at the beginning, and I think Mr. Ruffini mentioned as well, of course we will continue with our brand strategy. We just finalized the first phase of it on what you saw on St. Moritz. And we will of course talk more when we go into the Q1 call. You should expect more from us in terms of the scale of what you have been asking on the second half of this year. We will provide, of course, more details as the year goes by. But the answer is yes.
Remo Ruffini: The answer was short. Thank you, Gino. Good evening, Erwan. On your question regarding conversion, let me maybe clarify and give also some flair what we expect regarding the wholesale business in 2024 not only the retail business. First on the conversion, Nordstrom happened in May last year, Saks happened in October. And just for the store of Fifth Avenue, we are going to convert the online business during the course of Q2 this year. Basically, when you look at the results for wholesale of the last quarter and you take out the conversion, Saks, Nordstrom and the Bancorp, we would have been broadly flattish on the last quarter. And if we look just at the global impact of Nordstrom, it has been broadly neutral during the year. So what we lost in wholesale in Q2, Q3, where we usually deliver the – let’s say the fall winter collection to the stores have been compensating by the increase that we have had on the retail side. While for Saks the global impact was slightly negative because we didn’t have the deliver of the collection for winter collection because they were converted in October. So it was slightly negative overall. I think that if we look at the global conversion impact for 2024, and I will not give it by quarter, but I think that we can expect this and this is embedded in our space contribution of 5% to 6% retail space for Moncler, it will be more or less 1 points of impact for the full year. Let me take the opportunity maybe also to clarify what is our approach regarding wholesale for the full year 2024 and what we have started to implement when we had the campaign – full winter campaign in December of this year. As you have seen, there have been some difficulties on the wholesale channel with some high volatility season that has started quite late. There have been also some pressure on prices and we have taken the decision really to go even more qualitative on the approach that we have for our wholesale channel. So especially on the e-tailers side for Moncler to reduce the volumes that we are selling to e-tailers and try to switch as much as possible of this business into our own .com. And we expect a high single digit negative figure for the wholesale for 2024. Regarding Stone Island, I think this was highlighted by Robert during his presentation. We implemented a selective distribution agreement during the fall winter campaign that took place also in December this year. And there we have been even more stringent. Of course, there is the impact of the conversion that is higher for Stone Island and this is also helping the result of the D2C business. But you need to count on high tints, negative wholesale for Stone Island in 2024 becoming more and more qualitative and aligned with the brand repositioning that we are currently operating. So we feel very confident about this strategy. I think we are really looking to develop a qualitative approach and really think that our true brand barometer is the D2C and is where we want to push in the future.
Erwan Rambourg: That’s super thorough and useful. Thank you, everyone. Thanks.
Operator: The next question is from Chris Huang, UBS. Please go ahead.
Chris Huang: Hello. Hi. Thanks for taking my questions and congratulations on the results. My first question is on Q4 trends by consumer nationality. You very kindly commented about the Chinese consumers around still 50% on a two year stack. But are you able to also comment on Americans and Europeans? What are the trends you saw among these nationalities in Q4? That’s my first question. And secondly, on like-for-like, in the press release you commented around a 19% like-for-like for the full year. Can you maybe provide a breakdown on the split between price mix and volumes? And how should we think about this heading into 2024? Thank you.
Remo Ruffini: Hi, Chris. Thank you for your question. I will answer on the first one and I leave Luciano for the second one. Regarding nationalities, I commented extensively on the Chinese. If we look at the performance of the other main nationalities, Korean have been broadly in line in terms of growth in Q4 compared to the third quarter, where we performed pretty well. The same for the Japanese. On top Japan has been performing well. As you know, it has become a little bit the destination for many Asians traveling and that don't want to come to Europe or the Americas. So we have seen a huge increase of tourists outside region on the Japanese market, not only the Chinese, but also a lot of clients from Southeast Asia, from Taiwan and from Korea. Japanese have been positive even if the inflation has had an impact. So they were positive during the quarter. But the performance of Japan was mainly driven by a double digit increase on the tourists. And European have been positive. They have been – they were a little bit down in Q3, but they have been positive during Q4.
Luciano Santel: Yes. About your second question, like-for-like, in the first half of the year, you may remember, we said volumes represented two-third and price one-third. In the second half of the year, price was predominant more or less the other way around, two-third price and one-third volume. And we ended up more or less 50/50 with the price a little bit higher than volumes. The two-third volume, one-third price was and is for this year our current guidance.
Chris Huang: Okay, thank you. And just as a clarification on the first question coming back to the Americans. Can you also comment on Americans in Q4. I think the Q3 comment was Americans globally was up single digit. Is it accelerating or is it kind of in line with what you saw in Q3? Thank you.
Remo Ruffini: Yes, sorry for having forgotten the very important Americans. They were flattish on the quarter. We have seen volumes increasing more in the U.S. and with a little bit down in terms of buying into Europe, but they were positive in the U.S. So overall, it was flattish.
Chris Huang: Okay, thanks so much.
Operator: The next question is from Oriana Cardani with Intesa Sanpaolo. Please go ahead.
Oriana Cardani: Yes, good evening, and thank you for taking my questions. I've got two questions, if I may. The first one concerns external growth opportunities. Considering your solid cash flow generation, are you open to the possibility of making a new acquisition after Stone Island in the medium term, and what type of assets might be ideal for you? And the second question regards the shoes [ph]. So, what levels you reach as a percentage of sales in 2023, and what did you expect for this year? Thank you.
Remo Ruffini: Thank you for question. Honestly, I say many times that we are in the pipeline, really, to work very straight with Stone Island and with Moncler. As I say in my speech at the beginning, we have a lot of ideas, a lot of dreams, and I think for the moment, we are very confident to continue with these two brands. Thank you.
Luciano Santel: Oriana. Thank you for the question. Regarding a few comments, again, I think we are repeating ourselves in the different quarters, but basically, of course, we are happy to see that footwear is one of the fastest growing categories for us this year, up strong double digits versus last year, and especially in Q4. I think I mentioned this before, we have been finding in the Trailgrip [ph] family encouraging results both across D2C and wholesale. But I think, as I said before, I think we need to keep reminding that we are in the early stages of this process. I think more importantly for us is to keep focusing on a stronger pipeline of product creation as we come into the future. That's what we are obsessing about. I think it's important for us to say that while we are putting efforts and we are obsessing to get better season after season, our role or our goal is not to become a football player. For us, we always discuss this idea that we're a brand that come from the mountain to the city and back, and we believe that being part of that journey, footwear is a very important aspect of it. But I think it's important for us that we are very focusing on bringing new products into the market that hopefully you will see as we go to the end of this year and next year, and then hopefully we'll keep building the same success we have seen in the last year with the Trailgrip family.
Oriana Cardani: Okay, thank you very much.
Operator: The next question is from Thomas Chauvet, Citi. Please go ahead.
Thomas Chauvet: Good evening, everyone. Thank you for taking my questions. I have two. The first one on pricing. Can you talk about the average price increase you've implemented on spring, summer 2024 and whether there was some regional differences? And how do you think about autumn, winter 2024 pricing? And when you look back at the fourth quarter, maybe the beginning of this year, are you seeing some resistance with certain price points, with certain SKUs type of products that may worry you or on the contrary, encourage you for the rest of the year? Secondly, maybe for Luciano, coming back to the profitability profile, I mean, one big difference in that 30% EBIT margin today versus 2019 pre-COVID is that you had only one brand back then, you have two today. So given the different margin profile of each brand, that success. Moncler brand's EBIT margin is probably between 31.5%, 32% today versus 30% back in 2019. So nice margin expansion. Can you try to give us some idea of how much of that was driven by gross margin and give us some of the drivers there? How much was OpEx leverage? And do you see a cap to Moncler's brands profitability in the future as you gain more and more and more scale advantage? Thank you.
Remo Ruffini: Maybe on the first question, Thomas, on the pricing, you remember that in 2023 we had a price increase that was a double digit increase. And that we say for Moncler, for 2024, we have a mid single digit increase that is up there to cover the cost. We have anchor linked to the inflation. For Stone Island increase in 2023 was the same and we don't intend to increase prices in 2024. You ask if the price increase is different by region. Yes, it is. We, of course, take into account how, let's say the exchange rate is evolving. But also our aim has been since the past 10 years to reduce the price gap between Asia, Americas and Europe. And I can say that the price architecture we have been working on for winter 2024 is allowing us for the first time to be in the range of the plus 30 something. So below 40% between Asia and Europe. This is already the case for Stone Island, but this was not the case for Moncler. So I think this also we have done another step in the direction of where we want to be in terms of pricing architecture between the region.
Luciano Santel: About our operating margins by brand, of course, we don't report margins by brand, as you know. But of course, we have two brands, and one, which is Stone Island, is a brand we totally believe in. And we also know that we have to invest to make this brand an even stronger brand. So it will be a project that will take some time. Of course, we are not in a hurry because we are not chasing results. We are not chasing volumes or short term profitability. But right now, of course, we know that Stone Island is a brand. We need to invest. We need also to invest in Moncler. And when I’m talking about investments, as you know, I’m not talking only about CapEx or marketing. But again, as you know, we wanted to invest a lot in the organization to make our company and our two brands strong and solid for the future and able to deliver strong results for many, many years and not just for a few years. Having said that, long story short, I mean, Moncler is doing very well. We have this kind of ambition of 30%. But again, we are not obsessed by the 30%. We are obsessed by the strength of the brand. And that’s why we continue to invest. Talking about how we can achieve 30%, or to your point, even higher. I mean, the EBIT [ph] margin in our business model, as much as in many other retail business models, is mostly driven by the sales density. And so it’s not only gross margin, of course, gross margin is an important component. And honestly, we are very happy with our gross margin, which does not depend only on our markup, on our pricing power. But it depends also a lot on our capability to manage very efficiently our inventory. But gross margin is not the only driver. The other most important driver is the sales density. So Moncler, again, sales density is very high and it is higher than last year. Stone Island, it is still behind, but I mean it will take some time. But we are very confident. So, I mean, long story short, I don’t know if I’m giving you a satisfactory answer, but this is the way – this is our thinking process and this is the way we approach and we plan our business.
Thomas Chauvet: Thank you, Luciano.
Operator: The next question is from Charles Scotti with Kepler. Please go ahead.
CharlesScotti: Good evening. Thank you for taking my questions. I have two. The first one on your stores network. Could you tell us if the Grenoble stores are included into your guidance to open [indiscernible] a year? And what do you think is the long-term potential in terms of the stores network for Moncler Grenoble? And also if you plan to push Moncler Grenoble in the wholesale channel. And also one of the key takeaway from the Chinese New Year was apparently the growing popularity of ski trips and also travel to winter destinations in China. Do you see on the ground a growing appetite for outerwear? And should we expect Moncler Grenoble to also open stores in Asia Pacific? The second question online. I remember you said that the e-commerce channel was a little bit underperforming during the Q3 call. Could you tell us how e-commerce has performed on the full year basis and what was the contribution at the group level and for each brand? And also, if you could give us the speed between DTC and the wholesale online, this will be very helpful. And final question, which is a little bit technical, but can you confirm also that when you mentioned sales density figures, it includes your online DTC business? Thank you.
Roberto Eggs: Good evening, Charles. On the store network, we ended the year at 269 stores for Moncler, one dedicated – first dedicated store for Grenoble. Remember, as I mentioned during the call, during the presentation, that we have already 14 others mountain stores that are selling mainly Grenoble but not fully dedicated. So yes, we already in the existing network, we are going to increase the share of part of the Grenoble in these 14 stores and we may have opportunities to expand further the presence in the resorts in the Americas, in China and in Japan in the years to come. We are exploring and these number of stores that we have in mind will be included in the 15 stores that we give as a guidance in terms of opening year-on-year. Regarding the total amount of stores that we may have in the future. I know that you like to feel, let’s say, the metrics trying to figure out what is the global potential of the brand. But honestly, we don’t know yet. I think the fact that we are now refocusing even more for Moncler on the D2C part may have an influence on the number of stores we’ll have in the future, but is really premature for the moment to say this guidance that we have been giving of 15 openings and 15 relocation expansion is something that we have in mind for the next three years.
Elena Mariani: Just one thing on your last question. So the sales density is just the physical retail stores.
Gino Fisanotti: Just to – Charles, just to build on what Roberto was saying in terms of the opportunity as well, on Grenoble, I think it’s important for us that you mentioned what we just done in China. I think we have definitely, we see an opportunity across the globe. I think we are activating both Europe, Japan, the U.S. and China just to give an example of what we just discussed. I think it’s an important reminder as well in terms of the opportunity we’re seeing with Grenoble as well. It’s like for the past now 16 months, we have a full offering that goes all year round as well. We have spring summer products with Grenoble. We have pre fall. And then what is more traditional for us over the years, having the après-ski. And then, of course, the technical part that always come in between October and December. So now we’re going full circle with Grenoble as a proposition for customers all year round. And that’s another important opportunity that goes on top of what Roberto was saying about Grenoble. So hopefully that’s clear on that point. You mentioned online as well. I think the direct online channel registered a positive performance 2023. I think Roberto mentioned this briefly in his part, and it’s true, I think we mentioned, and we shared this together, that we saw – while we saw probably in the industry start deteriorating the performance at the beginning of last year. We saw the impact of that behavior changing in Q3. But we have a very strong first half of the year. And of course we have trends improved into Q4. And we have again, as we mentioned before, a positive year end. So for us, again, important to keep seeing this for us as a middle teens of our total revenue in terms of the contribution and again, the explanation of why the deterioration, probably we can have some. I think we already discussed, I think in the last quarter, and I think even Roberto mentioned this about seeing a more promotional marketplace in terms of retailers that have been affecting a bit of the online business across the board. But again, I think for us, as we always mentioned, and I think both Mr. Ruffini and Roberto always mentioned for us about the approach in D2C in terms of our only channel experience for customers. One important thing is maybe Robert, you want to mention performance of online on Stone Island just to complete that question, but I think that’s what I can say from our side.
Robert Triefus: Yes, happy to do that. And again, just to underline that this year we will see the internalization of the direct website. And in terms of the performance we expect to see the contribution at total sales being comparable once we internalize. But we see a contribution of around 10% in line with the previous year.
Elena Mariani: And just I think you also asked how much is direct versus third parties. As for Gino, I mean he mentioned mid-teens as a percentage of Moncler sales and the vast majority is direct. And as a reminder, last year it was two thirds direct and the previous year it was just 50%. And so that’s the main focus that we have.
CharlesScotti: Thank you very much.
Operator: The next question is from Louise Singlehurst from Goldman Sachs. Please go ahead.
Louise Singlehurst: Hi, good evening, everyone. Thanks for taking my questions. I wondered if I could just ask a little bit more about the U.S. I’m quite interested in seeing this a big improvement going from Q3 into Q4 on the DTC, if we think excluding the wholesale. Do you think now we’ve turned the corner in the U.S. for more sustainable positive growth? I know Roberto, you mentioned that all nationalities had started the year well. So obviously a positive implication so far. But I wondered if we’re on track for more sustainable growth now in the U.S.? And then my second question just again, sticking with the regional data and when you’re looking across the consumer profiles, where do you see most sensitivity to spending as you think 2024 and more kind of medium term? And by the word sensitivity I mean both maybe a little bit more caution but also where you might be seeing some more bright spots. It sounds obviously a little bit more encouraging. Thank you.
Roberto Eggs: Hi, Liwei. On the US, is this growth that we have seen at the start of year being positive on the American sustainable? We hope. Honestly, I would like to have a crystal ball and to read it more clearly. I think what we have seen is during the last part of year a repatriation locally, so a positive effect on the American cluster. Is it sustainable or not? Honestly, we don't know. I think we still have the full-year in front of us, so it's quite difficult to assess. But it's for sure that we see the Americas as a big opportunity for us. We are under penetrated both for Moncler and Stone Island on the American market. And this is going to be one of the area of focus that we will have for both brands in the months and years to come. Regarding sensitivity on different part of the globes, honestly, the momentum at the start of the year is good on the D2C part, which is where we consider again our brand barometer. So we have not seen weaknesses for the time being. But again, it's very early in the year, it's only two months and we know how important Q4 is for us. So there is always a word of caution and not to take the first start of the year as being something that we can reference as a full year, but we're all very committed to make it work.
Louise Singlehurst: Okay. Thank you.
Operator: The next question is from Piral Dadhania, RBC. Please go ahead.
Piral Dadhania: Okay, thank you. Good evening. I'll keep it brief. My first question if I could just clarify, to the extent you can say if the Q4 Montclair brand retail like for like was low double-digit, we estimate it to be around 12%? Any help there would be very helpful. My second question is just around new customer recruitment and the demographic profile for Montclair brand. Again, could you maybe just talk about how the new customer recruitment has evolved through the balance of 2023? Obviously had some big events at the end of 2022 and beginning of 2023 to support the genius re-launch and the 70th anniversary. So we envisaged a lot of new customer recruitment in the first half of the year. But how did that work out towards the end of the year? And sort of how do you think about the contribution of the growth, the strong growth that you've seen in Q4 split across existing customers versus new customers? And what's your anticipation for 2024 in that regard? Thank you.
Remo Ruffini: I will answer shortly ad we'll be very short on your first question because we don't provide guidance or figures regarding growth per quarter. What I can tell you is that we have seen an acceleration in Q4 compared to Q3. I'm very happy about that, especially in November and December. In terms of customer base, I think again for us, and I think this is part of the decision, when we start talking about the one brand with three dimensions, is to really have a meaningful connection with complementary audiences, right. I think this is the important aspect that can probably go back to the question you were making about how we justify the current momentum of the brand. And as a consequence of that, the growth we're seeing in the business is because we're able to acquire different customers from different customer segments, that they are complementary to each other. The nature of why we have Moncler Collection, Genius and Grenoble is because we see, of course, an opportunity for us to talk to different people in a more specific and meaningful way. And this is what attracting new audiences to us. I think the other important aspect, I think that goes across everything Roberto, myself and the team do is we are looking always on acquisition across everything that is omnichannel, right. I think, of course, sometimes the balance between how much of the current audience versus new audience could define, could change a little bit depending on the channel we are discussing. The reality is that we are all always looking to be the very best brand possible to the current communities or the current audiences as much as the new people coming in. As a little vital factor, I think, again, we are seeing traffic, of course, increasing in our retail doors as same as we saw a very important increase in digital as well. And that is helping us to understand that we have that demand and that meaningful connection with customers, which is, again, in a way, the acquisition plan that we're seeing. So the last comment, and I think is connected to one of the first questions we got about do we have another event. I think for us, of course, the big events are an opportunity to explain and to share an experience with customers all around the globe. But it's the in between that for us is as important as the events we do in making sure that we have a strong tone of voice, that we keep building that brand momentum, and we can keep leveraging that as soon as a customer goes into any touch point, either a physical retail, either.com, et cetera. So I think it's important for us to understand that one of the biggest evolutions we have done as a brand is not only the big moments, but it's the in between moments that is helping us to drive the results you're seeing.
Piral Dadhania: Thank you, very clear.
Operator: The next question is from Andrea Randone with Intermonte. Please go ahead.
Andrea Randone: Thank you and good evening to everybody. The first question is about the use of cash. You already excluded a big estate asset acquisition or new company target acquisition, so I wonder if you can confirm dividend policy with a payout of 50%. And I wonder if you can consider an important buyback also to counter dilute the stake of Mr. Ruffini.  And the second question is if you can provide us with an update on the project to partly internalize the production you discussed in the past month? Thank you.
Luciano Santel: Yes, Andrea, about your first question, Sophie already answered the question about M A. And again, we are not close to again M&A opportunities, but we don't have any plan. We are open to consider everything, but depending not on the cash we have, which is important, but on the beauty of the brand. And this was the case when in 2020 we integrated Stone Island that was not because we needed to allocate the cash, but because we strongly believed in the potential of that brand, and also we love that brand since ever. So again, about the cash allocation, of course, dividends have been increased last year a lot. We almost doubled dividends last year. This year we keep increasing the dividend payout a little bit. I think that we are doing in line, if not better, of what in the industry, other companies, other companies do about buyback. About buyback, we don't have any plan for the time being. We normally implement buyback only to the extent we need the shares for our performance share plan. The last buyback was in 2022 as you probably know. For the time being we don't have any plan. But I mean, for sure when needed, we will implement buyback, but not driven by financial needs, not driven by the fact that we need to allocate more efficiently our cash. As you know, we know, we are aware that our cash allocation is not efficient, but, I mean, we prefer to be safer than efficient. And having cash on hand allows us to be open to any opportunity, first of all, to keep investing importantly in our brands. About the other question, international production. Okay, first of all, important to remind you, but I’m sure, you know, you remember that we doubled our production facility in Romania last year, actually at the end of 2022. And so this is an important step to increase our own production capacity. We are now looking at increasing the production capacity of our knitwear facility. We have a small facility in Italy. We are now to planning to expand that facility, actually to move to another much bigger facility. Because knitwear, important to highlight. We don’t say that very often, but knitwear is our second leading category after outerwear. Keep growing very nicely in both of the subcategories, the traditional Chico [ph] and the so called [indiscernible]. And so in order to improve the quality of our product, we have started several years ago to build this kind of production facility in Italy. Right now we are mature to expand this facility. And this is something will be done over the next few months. So internalization of production is something we keep working on. Of course, we also have a small production of outwear in Italy under the innovative technology, which is the production, something I’m sure you remember. And these are the plans we have right now in our pipeline. We expect to achieve more or less 30% of internal production over the next 12, 13 months.
Andrea Randone: Thank you very much, Luciano.
Luciano Santel: You’re welcome.
Operator: The next question is from Liwei Hou from CICC. Please go ahead.
Liwei Hou: Good evening everyone. This is Liwei Hou from CICC. Thank you very much. Two questions. The first one is our licensing equipment with EssilorLuxottica. As we all know, the licensing business will be margin accretive. I just want to understand the scale of this business that you think might be reasonable and how meaningful it will be to help with our margins in 2024. And my second question is actually on our Chinese customers. It’s actually a follow-up. We all know that Chinese are becoming more cautious in spending. I think it would be helpful if you could let us know the involvement of active customers among the Chinese cluster in the past few quarters. And has that been expanded? Or is it more from repurchasing from existing customers. I think that’ll be very helpful. Thank you.
Luciano Santel: Okay, let me start first about EssilorLuxottica and our eyewear strategy that started many years ago. I mean the last license agreement was with Marcolin. I mean, we did a great job together to develop a credible, strong product under the strong identity of the brand of Moncler brand. And I’m saying that because the strategic decision to develop this business was not just to develop revenues or to develop royalties, but to develop something that should enhance the identity of our brand. So product first, reason why we decided to move to EssilorLuxottica is because needed to say, so EssilorLuxottica is number one, and their capability on product is huge, of course, and very important also, their distribution capacity is very, very high, because they have thousands and thousands of stores and a distribution network also in the opticians. That is huge. So we expect to totally increase and improve the activity that has been developed over the past of the past year with Marcolin taking advantage again on the great power of Luxottica on product and distribution.
Remo Ruffini: I think to add a bit more into what Luciano was mentioning, I think one of the most exciting opportunities is the deep partnership we have between them in terms of product and brand as well. I think Luxottica is partnering up with us as well, in terms of making sure that we have a product offering across the three dimensions of the brand, something that will help us to again expand and be meaningful to different audiences as well. So that’s very important. And as I mentioned before at the beginning, just to reinforce that the launch of the first Luxottica collection will be in fall winter 2024, we will clarify probably Q1, Q2, the exact month, but that’s the plan so far. Regarding your question on Chinese, just as a reminder, as I was mentioning, the cluster increased 50% year – quarter-after-quarter on a two year stack. So plus 50%, what we have seen is an improvement of the retention. This is linked to all the clienteling activities and activation that we have been working as being part of this retail excellence, omnichannel excellence that we have. And we continue to have additional new clients coming into the brand, especially now that they have restarted to travel. They restarted to travel first in the neighboring countries, mainly to Japan, a little bit, Korea, Indonesia, Singapore, and of course Hong Kong, Macau and Hainan. But now they have restarted to travel also to Europe, which was a little bit of the surprise that we have seen along the year. You remember that we started here with 30% of the volumes compared to 2019. It went up to 50% in the middle of the year and we have seen an acceleration at the end of year where we were for Europe at 80% of the volumes of 2019. So there we see a progression in their willingness to travel. It started by very healthy and wealthy, sorry, a very wealthy Chinese, but now it’s broadening. Also, the fact that different countries have facilitated the emission of visa is clearly helping to restart the activities with Chinese outside of China.
Liwei Hou: Thank you very much. 
Elena Mariani: I think it’s almost a quarter to eight, so we can stop here. Thank you very much to everyone for participating in this call. Let me just give you a quick reminder of the next release. Our Q1 interim management statement will be released on April 24 after market close and our quiet period will start on March 26. Thank you again and for any follow-ups. You can contact me or the IR team anytime. Thank you and have a great evening.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over and you may disconnect your telephones.